Operator: Hello, and welcome to the P10 Third Quarter 2025 Conference Call. My name is Latif, and I will be coordinating your call today. [Operator Instructions] As a reminder, today's conference call is being recorded. I will now pass the call to your host, Mark Hood, EVP and Chief Administrative Officer. Mark, please go ahead.
Mark Hood: Thank you, operator, and thank you all for joining us. On today's call, we will be joined by Luke Sarsfield, Chairman and Chief Executive Officer; and Amanda Coussens, EVP and Chief Financial Officer. Sarita Jairath, EVP and Global Head of Client Solutions; and Arjay Jensen, EVP, Head of Strategy and M&A, are also in the room with us today. Before we begin, I'd like to remind everyone that this conference call as well as the presentation slides may constitute forward-looking statements within the meaning of the federal securities laws, including the Private Securities Litigation Reform Act of 1995. Forward-looking statements reflect management's current plans, estimates, and expectations, and are inherently uncertain. Actual results for future periods may differ materially from those expressed or implied by the forward-looking statements due to a number of risks and uncertainties that are described in greater detail in our earnings release and in our periodic reports filed from time to time with the SEC. The forward-looking statements included are made only as of the date hereof. We undertake no obligation to update or revise any forward-looking statements as a result of new information or future events, except as otherwise required by law. During the call, we will also discuss certain non-GAAP measures that we believe can be useful in evaluating the company's performance. A reconciliation of these measures to the most directly comparable GAAP measure is available in our earnings release and our filings with the SEC. I will now turn the call over to Luke.
Luke A. Sarsfield: Thank you, Mark. Good morning, everyone, and thank you for joining our third quarter 2025 earnings call. Our third quarter demonstrates the strength of our diversified platform and the attractive fundamentals of the market segments that are core to our differentiated investment strategies, namely the middle and lower-middle markets. Before discussing our quarterly financial results, I want to share a few observations around recent headlines regarding private credit and concerns some have raised about the credit market in general. As it relates to P10, private credit represents less than 20% of our fee-paying AUM today. We view this as an asset class with a meaningful opportunity set where disciplined managers can consistently deliver strong, stable performance, and attractive risk-adjusted returns. We have stated on previous calls that private credit is an area we would like to further expand. Having said that, in our existing private credit franchise, we continue to see a strong and robust opportunity set in the middle and lower-middle markets, and we are not seeing deterioration in our credit portfolios. Our underlying business remains incredibly strong. We have a time-tested and rigorous underwriting process, and our investment returns reflect this approach. Now, on to our third quarter results. We raised and deployed $915 million in organic gross new fee-paying assets under management. Investors may recall that we previously mentioned that in the second quarter, we pulled forward approximately $300 million in fundraising from the third quarter. Were it not for these accelerated capital commitments, we would have delivered a third consecutive $1 billion gross fundraising quarter. The fundraising and deployment environment continues to be resilient with compelling opportunities across our diverse franchise. Our expanding business continues to benefit from secular tailwinds in private markets, supporting global demand for difficult-to-access investment opportunities. We believe the market is moving in our direction as clients seek better returns and more exposure to the middle and lower-middle markets. Our distinct business model is a strong foundation upon which to fuel our organic and inorganic growth aspirations. We ended the third quarter with $29.1 billion of total fee-paying assets under management, an increase of 17% year-over-year. The momentum in our business is especially noteworthy when comparing fundraising and deployment in the first 3 quarters of 2025 to the same period in 2024. In the first 3 quarters of 2025, we raised and deployed $4.3 billion of organic fee-paying assets under management, an increase of 48% when compared to the capital raised in the same period of 2024. Other KPIs demonstrate progress over the same 9-month period. Our fee-related revenue, or FRR, has grown 5% year-to-date. And additionally, our FRR is up 11% year-to-date when excluding direct and secondary catch-up fees. We've exceeded our annual organic gross fundraising guidance of $4 billion for 2025. Consequently, we are raising our full year 2025 organic gross fundraising target and expect to finish the year closer to $5 billion. And we are well on our way to achieving the long-term guidance we provided at our Investor Day in September of 2024. All of the materials from our Investor Day are prominently featured on our Investor Relations website, and we invite you to review those materials to get a better sense of how we are thinking about the opportunities in 2026 and beyond. In the third quarter, we had a number of noteworthy accomplishments that support the ongoing momentum in our business. During the quarter, we had 17 commingled funds in the market. RCP's Secondary Fund V closed at $1.26 billion, exceeding our target of $1 billion. We've seen strong demand for our secondaries products, and this fund was no exception. We closed Secondary Fund V in 13 months. The predecessor, Secondary Fund IV was $797 million and took 25 months to close. The takeaway is that our commingled fund business continues to thrive and has achieved significant momentum. In addition, we launched 4 funds in the quarter, Bonaccord Fund III, RCP Small and Emerging Manager Fund IV, RCP Multi-Strat III, and Qualitas Funds US I. We continue to see LPs expanding their allocations across P10's franchise. We recently saw several wealth managers who were invested across our private credit and venture capital strategies commit to RCP's latest secondaries fund for the first time. Additionally, a large multifamily office that has invested in TrueBridge expanded its venture capital allocation by investing in WTI. Finally, in August, we announced a dual listing on NYSE Texas. Being recognized as a founding member of NYSE Texas provides us with a larger platform upon which to engage with the investment community. The NYSE continues to be an important partner, and we are excited to expand our relationship. Given our continued fundraising momentum, we want shareholders to understand the factors driving our long-term growth. First, we provide access to a specialized part of the market in the middle and lower-middle markets. This part of the market is difficult to navigate without a trusted partner. We offered a deep dive on the middle and lower-middle market opportunity in our second quarter earnings deck that demonstrates, through data, the structural advantages of our market focus compared to the larger, more crowded segments. Second, our firm is comprised of renowned investment franchises that have delivered durable alpha over decades through good and bad market environments and economic cycles. Returns continue to be strong as indicated in the slides in our earnings deck. Franchise diversity means we can compete for global mandates and win business in a variety of structures. We expect to drive more non-commingled opportunities over time. Third, we have a large growing LP base with a distinct selection of products and structures. We expect to have 19 funds in the market for the remainder of 2025. We are also continuing to engage with larger pools of global capital that want customized solutions. Fourth, our M&A pipeline is active, and we continue to evaluate attractive situations. We are active in our conversations and diligence. We're going to remain disciplined and on strategy as we consider adding new strategies to the platform. These core components drive our optimism in the forward of our franchise. Before I hand the call off to Amanda, I want to highlight that our share repurchases in the third quarter slowed as we have pulled forward capacity into the second quarter. During the third quarter, we repurchased approximately 110,000 shares at a weighted average price of $11.34 for a total repurchase of $1.25 million. With that, Amanda will discuss the third quarter financials.
Amanda Coussens: Thank you, Luke. At the end of the quarter, fee-paying assets under management were $29.1 billion, a 17% increase on a year-over-year basis. In the third quarter, $915 million of organic fundraising and capital deployment was offset by $673 million in step-downs and expirations. We expect step-downs and expirations for full year 2025 to be slightly above our initial expectation of 5% to 7%. Increased step-downs were driven primarily by early paydowns in our credit business, demonstrating the quality of our loan portfolios and underwriting. In addition, a portion of the incremental step-downs consists of recyclable capital from our credit businesses that we expect to redeploy and continue charging fees in future periods. Another component of the increased step-downs and expirations was a large separately managed account that we expected to expire in the first half of 2026, which instead expired during 2025 and was replaced with a larger commitment from the LP following the expiration. We continue to expect step-downs and expirations to return to our historical average of 5% to 7% during 2026. FRR in the third quarter was $75.9 million, a 4% increase over the third quarter of 2024 and a 13% increase, excluding direct and secondary catch-up fees. The average core fee rate in the third quarter was 103 basis points due to strength throughout our product offerings. We continue to expect the core fee rate this year to average 103 basis points. In the third quarter, we had 17 commingled funds in the market. Our private equity strategies raised and deployed $711 million, our venture capital solution raised and deployed $12 million, and our private credit strategies added $192 million to fee-paying assets under management. Fundraising in the third quarter was driven by robust demand for secondary products as well as LP demand for multi-strategy and co-investment products. Total catch-up fees in the quarter were $370,000. The timing of fund closings drives catch-up fees. And in the third quarter, they were primarily attributable to our primary funds, which only impact our core fee rate. With many of our commingled funds early in their fundraising lives during 2025, we expect to see catch-up fees expand in 2026 and 2027. Operating expenses in the third quarter were $65.2 million, remaining flat compared to the third quarter of last year. GAAP net income in the third quarter was $3 million, an increase compared to $1.3 million for the prior year's third quarter. For the third quarter, adjusted net income, or ANI, was $28.6 million, representing a decrease of 7% from the third quarter of 2024. The reduction in ANI is primarily attributable to lower cash interest paid in the third quarter of 2024 compared to the third quarter of 2025, as a result of the debt refinancing in early August 2024, which moved cash interest paid into future quarters as well as additional borrowing costs associated with the recent Qualitas acquisition. For the quarter, fully diluted ANI per share was $0.24 compared to $0.26 in the prior year. FRE was $36 million, an increase of 3% year-over-year. In addition, our FRE margin was 47% in the third quarter. We continue to exercise cost discipline throughout our business to maintain peer-leading FRE margins in the mid-40s. Our Board of Directors approved a quarterly cash dividend of $0.0375 per share payable on December 19, 2025, to stockholders of record as of the close of business on November 28, 2025. Cash and cash equivalents at the end of the third quarter were approximately $40 million. At the end of the quarter, we had an outstanding total debt balance of $398 million, $325 million on the term loan and $73 million drawn on the revolver. Following the end of the third quarter, we paid $11 million down on the revolver. As of today, we have roughly $113 million available on our credit facilities. Our strong balance sheet and ample borrowing capacity position us to execute disciplined M&A with confidence. Our AUM, which is calculated similarly to our peers and is the sum of NAV, drawn and undrawn debt, uncalled capital commitments and capital commitments made to the platform since the NAV record date. AUM was $42.5 billion across the platform as of September 30, 2025. We believe AUM shows the breadth and scale of our business as a leading multi-asset class private market solutions provider as we continue to execute on our growth plan. Thank you for your time today. I'll now pass the call over to the operator to begin the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Ken Worthington of JPMorgan.
Unknown Analyst: This is Alex on for Ken. For the first one, I wanted to double-click on the SMA-driven step down. I understand you mentioned it came earlier in '25 rather than expected in '26, but that was also matched with a larger commitment from the same client. When talking about the commitment, does that already appear in the fee-paying AUM? Or is that capital that needs to be deployed? Or are there other considerations there?
Luke A. Sarsfield: Thanks, Alex. It's a good question. That does already appear in the fee-paying AUM. So we had a discussion with the client around the structure of our relationship. They added some -- they added a new mandate as part of an SMA, and that is included in the fee-paying AUM. And then as part of that, the -- one of the previously existing older mandates stepped down and stepped down just probably 6 months before we had initially expected it to.
Unknown Analyst: And then for the next question, just about your point being more of a global solutions provider, understand Qualitas is helpful there, potentially win the incremental mandates. First part of that question, you mentioned they're launching a U.S. fund. Just want to understand if that's a fund for U.S. investors in their international products or what the deal is there? And then looking at channel mix, I'm seeing insurance company contributions to fee-paying AUM going up over the past handful of quarters. I wanted to check if that's just noise or variability, or if there may be a concerted effort that's flowing through the P&L of targeting the opportunity set as well.
Luke A. Sarsfield: So 2 great questions. So first, on the Qualitas U.S. Fund, it's actually kind of the opposite of how you described it. So effectively what it is, is a fund that will invest primarily in the U.S. and will be marketed primarily -- virtually exclusively, I would say, to European investors. And I think this is a great example actually of synergies across our platform of being able to do things kind of in a pan-strategy way. And here in particular, this involves Qualitas and RCP. So one of the things that happened -- many things happened, but one of the very positive things that happened when we announced the Qualitas RCP deal, and remember, they had -- sorry, the Qualitas P10 deal, and remember, Qualitas and RCP have been working together for a long time, Qualitas got a lot of inbound from many of their existing LPs saying, gosh, we would love to have equivalent lower-middle market and middle market exposure that you afford us in Europe into the U.S. but it needs to be in a wrapper that works from the perspective of retail and ultra-high net worth investors in Europe. And so getting it wrapped in the right format was incredibly important, but obviously, having the right investment mixology was incredibly important. And so the beauty of this was it's really -- think of it as a joint venture product, though it's marketed as a Qualitas product, where Qualitas is really going to handle the structuring, the wrapping and obviously, primarily the distribution and the investor relations, and RCP is going to handle a lot of the portfolio mixology and the investing into the U.S., obviously, in close coordination and cooperation with Qualitas. And so it's a great example of the synergies that we talk about. So I'm actually really glad you asked the question. And I think we think there's a lot of other things like this we can do across the platform. But I think this is a great example of a synergy that we found, and I'm sure we'll continue to find many more as we continue to work and grow and execute together. The second question you asked was on insurance and the growth of insurance assets. And I would say we are not focused exclusively on insurance, but we are focused generally on expanding, as we've talked about with Sarita and team and others. We are focused on expanding our footprint and deepening our relationships with large pools of capital and large pools of capital allocators. And clearly, insurance is one of those important pools. I wouldn't say it's exclusive to insurance. It includes pensions. It includes sovereign wealth funds and it includes large endowments and foundations. It will include retail platforms and other retail aggregators. But certainly, insurance is a big part of that. And we have some funds in the market, I would say, that I think are particularly useful and appealing to insurance companies as they think about things like their return profile and kind of their broader capital allocation and obviously, doing things that are capital friendly from an NAIC perspective. And so I think we've been very lucky and very fortunate as part of this broader push to engage with larger pools of capital to have seen some real success and traction in the insurance channel. We don't think it will be unique and exclusive to the insurance channel, but it's certainly a focus of ours, Alex.
Unknown Analyst: And great to see the cross-sell with Qualitas.
Operator: Our next question comes from the line of Michael Cyprys of Morgan Stanley.
Michael Cyprys: I appreciate the commentary on the credit trends. I was hoping you could maybe elaborate a little bit on the steps you guys are taking to support accelerated growth across your credit platform, how you envision that contributing over the next couple of years? Which parts of the market do you view as most interesting for P10? And when you look at the capability set in the platform today, where is there scope to lean in via inorganic initiatives versus more organic builds?
Luke A. Sarsfield: Yes. These are all great questions. Thank you, Michael. Great questions, things we think about every day. So I'll take 3 parts of it. The first is just to underscore our relentless disciplined focus on making sure that we're always doing quality underwriting. And I will tell you, this is not some debt bed conversion we had in the last quarter because of the noise in the broader markets. This is something that we've done in a disciplined and diligent fashion since the very genesis of these platforms. And obviously, we have had -- you look at the returns, we've seen great returns across the cycles, and that's because we really focus on risk-adjusted return. We do a lot of internal work. We also engage with third parties who assist us in evaluating and marking the portfolio. We consistently go back and re-underwrite. If there are loans that are not even necessarily problematic, but not performing to our expectation or our underwriting case, we are engaged for quarters, if not years, on sort of engaging with the underlying portfolio company and making sure that they're doing all the right things to enhance that credit quality. And so we feel really, really good about our robust disciplined underwriting process. This is not something that we've come to recently. This is something we've been engaged with since the very start of the platform. I would then say, as it relates to our existing platform, we certainly see opportunities in many cases to grow the platform. And so I'll just give you kind of a few examples of things that we're really excited about. We continue to grow and expand our NAV lending franchise. That's through our Hark subsidiary. We've seen a lot of traction in that space. We obviously have a great, by the way, underwriting history in that space. But we've seen a lot of traction, a lot of uptake. It's clearly becoming a more broadly accepted and mainstream product. We're out marketing our next vintage of the core Hark product. And we just see a lot of engagement generally across NAV lending and what I would call NAV lending adjacent kind of strategies that I think are becoming just a more embedded part of the fund finance ecosystem these days. And so I think we have a lot of optimism around how that strategy plays out. We also mentioned in Enhanced, which is our impact credit strategy, we're out with an evergreen product. And we see a lot of interest and sort of engagement around that. And I think we're really, really excited for what that looks like. And then obviously, we have our WTI venture debt strategy that continues, I think, to deliver really attractive risk-adjusted returns in certain investor types, particularly those who are engaged in the venture ecosystem, but maybe want some structural protections really like that venture debt solution. And then finally, obviously, within our Five Points franchise, we do a lot of SBIC lending, and that certainly has appealed to banks and others who are seeking CRA credit as part of their underwriting and investing mandate. I would say more generally, and we've talked about this, we think there are ample opportunities within private credit. We've talked about areas like being much broader in direct lending. We've talked about areas like being much broader in asset-based lending. Clearly, there are other places like distressed and opportunistic credit. One of the real benefits that we think we have in our platform, particularly if you took something like direct lending, and this kind of goes back to that discussion we just had around Qualitas and RCP, what are some of the potential synergies across our platform. One of the real powerful things in our ecosystem is our relationships with many of the middle market sponsors through RCP in the U.S., through Qualitas in Europe. We're generally one of the top LPs in some of the best world-beating middle and lower-middle market financial sponsors. And as those sponsors do deals, and particularly as they do buyouts and those buyouts generate credit opportunities, we think we would have a really unique and differentiated sourcing engine as it relates to those. Obviously, sourcing is both a challenge and an opportunity for many direct lenders. We really have the organic built-in sourcing engine already. And so if we could kind of marry that with the right team that had the right kind of underwriting, risk assessment, disposition, we think that, just as an example, could be a really compelling place to grow the platform.
Michael Cyprys: And then just as a follow-up question, if I could, more bigger picture. When you look at the mid- and lower mid-market focused managers that you're investing capital with, what challenges do you see those GPs facing, whether it's larger GPs just garnering more share of flows or tougher exit route through IPOs for smaller companies or less ability to access private wealth? Just how do you see the sort of broader trends in that part of the market for those GPs? And how do you see the opportunity for P10 to lean in and provide a broader set of solutions to help and support these GPs?
Luke A. Sarsfield: Look, great, great, great question. And we think about this in so many ways, right? But the first is -- look, this is part of the broader -- this part of the market, the lower-middle market is part of the broader private asset ecosystem. And I would say no part of the broader asset ecosystem has been immune to the macro trends. What we did highlight, and I think, hopefully, you saw the slides in our second quarter earnings release, we would say we think we are in a relatively more protected and sheltered part of the market relative to some of the big trends in the upper part of the market. And so for all private equity firms engaged in buyout, whether at the upper part of the market or in the middle part of the market, DPI has been down, low these last few years. But it's been down meaningfully less in the lower-middle market than it's been down in the upper part of the market. And so we think there are some real structural advantages. You also mentioned, by the way, the prospect of some of these exits and the prospect of exit via IPO. We think that's another structural advantage in our part of the market. Most of these companies, the vast lion's share of the companies that are in kind of our GPs portfolios don't end up going public, right? They end up getting sold in some sort of transaction, whether it's a trade sale to a strategic or whether it's a sale to, frankly, one of these larger financial sponsors or one of their larger platforms that they own within their portfolio. And so we think that while certainly a robust and vibrant capital market environment, IPO environment is good for everybody, and I suspect it would be good for us and for our GPs. We're kind of a little less sensitive to it than folks playing at the upper end of the market because they obviously had a much more meaningful part of their exit via IPO. And so we continue to like and value our part of the market. Then you're asking what do we do for our GPs. And it's a really great question. And I think one of the advantages that we have in really getting folks to want to engage with us is the franchise, the history, the track record, the imprimatur, frankly, we give because of who we are. And a lot of that is informed by our data insights, right? And so when we work with our GPs, we can obviously give them through our GPScout, through our data solutions, tremendous insights around everything from macro trends in the market, trends in their space, trends in the geography they play in, and even kind of insights on specific deals, how have similar deals done historically, what are the things to watch out for, what has worked, what has not. And they often come to us in sort of an anonymized way and say, hey, we're looking at a deal that has XYZ parameters, can you help us think through this, what are the benefits, what are the detriments, what are the risks we ought to consider. And so you're not just getting capital from us. You're getting strategic advice. You're getting real insight. And then I think one of the other advantages is given the RCP platform, given the kind of brand and stature that RCP has in the marketplace, and I think very similar with Qualitas in Europe, when somebody -- when other LPs or prospective LPs see an RCP, see a Qualitas in the cap stack, they know that these are high-quality managers, that these are folks that have demonstrated good performance metrics, and that these are people who have been diligenced by kind of the best in the business, so to speak, and we're really proud of that. And so those are kind of some of the things I think we're super helpful with in that part of the business. I would also just highlight, and just to knit one other thought together, I think we're building as well a broader ecosystem of capital solutions for GPs. And so for instance, if you're a GP and you want to raise capital for one of your flagship funds, obviously, we can do that. We do that through RCP. We do that through Qualitas. And you can engage with us in that way, and we're very happy to, and we can provide all that information and insight that I talked about. If you then -- if that fund is now out of its investment period and there's a really attractive bolt-on opportunity and you need more capital through Hark, through being in that ecosystem, we can work with you to provide some sort of NAV loan that will help kind of boost the returns in that portfolio or enable you to do a tack-on deal or what have you. And if ultimately then you decide maybe I want more permanent embedded capital in my capital structure, and I want to embark at a GP stake sale, we can obviously engage with you through that via our Bonaccord business. And so I do think that that kind of platform synergy is another really powerful thing as we engage with GPs, Michael.
Operator: Our next question comes from the line of Benjamin Budish of Barclays.
Benjamin Budish: Luke, you alluded to what I wanted to ask about a little bit in your prior response about P10 being a little less levered to kind of the broader M&A environment. But I'm just curious, when we listen to a lot of your peers who are much more tethered to that, whether it's through realizations or much bigger exposures to net credit deployment, we do hear more about an excitement that IPOs that M&A is going to pick up meaningfully. So just curious what could that mean for P10? Obviously, your model is less tethered to that, but where do you maybe see opportunities accelerating should the M&A environment pick up as rates are coming down? Where is there potential near-term upside just from that macro perspective?
Luke A. Sarsfield: Well, look, it's a great question. And when I say -- when you say we're less tethered to it, I guess what I would say is, I think we are a little inoculated on the downside is maybe how I would say it, right? But look, let's be clear, a good market is good for all participants regardless of size they play and regardless of segment. And so if we have a more accommodative backdrop with better M&A volumes, with more capital markets activity, with more financing and origination, that's going to be good for all players in the private asset ecosystem. And by the way, it will be really good for P10. And I think to the point that you mentioned where people are seeing and talking about more optimism, I think we are seeing more activity as well across our businesses. Generally, you obviously see it kind of manifest itself first in transactions at the kind of GP level and then what does that origination bleed through into credit and then the opportunities for monetizations and so on and so forth. And I think, like others have observed and opined on the calls that have happened and are going to presumably continue to happen, we see a more benign and accommodative macro environment than we have for probably at least a few years, if not longer. And that will augur well for our business. That will accelerate deployment opportunities in our credit businesses in the short run. That will amplify, I'd say, returns across the private equity ecosystem we're engaging in. And I think as people get more risk on, they really want to lean into places where there's the potential for magnified returns. And there's no place like venture, if you want to express a view on magnified returns in a more robust and risk-on growth environment. And so we think a broader positive accommodative macro trend is good for virtually everything across the platform, and we're hopeful and optimistic that we're getting to a better part of the cycle here, and we think it will be really good for P10 then.
Benjamin Budish: Maybe just one maybe more kind of narrow technical question. You mentioned that some buybacks have been, I think, pulled forward in -- earlier in the year and the absolute number was a little bit lower in Q3. What's the current level of your capacity into Q4? Do you need to sort of re-up your authorization? Just any kind of tactical details around that would be helpful.
Luke A. Sarsfield: I'm going to let Amanda take that one, but good question.
Amanda Coussens: Thank you, Ben. So we have $26 million remaining on our buyback authorization. And I will say that while we continue to see share repurchases as an important tool for us to return capital to shareholders, we will continue to repurchase as it makes sense. Our long-term capital allocation priorities are to pay our dividends, which we've grown since -- 25% since instituting it in May of '22, M&A opportunities and share repurchases as it makes sense along with debt paydown.
Operator: I would now like to turn the conference back to Luke Sarsfield for closing remarks. Sir?
Luke A. Sarsfield: Thanks, Latif, and thank you all for joining us today and for the great questions. We look forward to reviewing our fourth quarter performance with you in February. On that call, we will review full year 2025, outline an exciting 2026, and provide financial guidance for the year. We are aligned with you, our fellow shareholders, and remain deeply committed to the long-term interest of our franchise. Thank you, and have a good day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.